Operator: Good day, and welcome to WesBanco Inc.'s Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to John Iannone, Senior Vice President of Investor Relations. Please go ahead.
John H. Iannone: Thank you. Good afternoon, and welcome to Wesbanco Inc.'s Third Quarter 2025 Earnings Conference Call. Leading the call today are Jeff Jackson, President and Chief Executive Officer; and Dan Weiss, Senior Executive Vice President and Chief Financial Officer. Today's call, an archive of which will be available on our website for 1 year, contains forward-looking information. Cautionary statements about this information and reconciliations of non-GAAP measures are included in our earnings related materials issued yesterday afternoon as well as our other SEC filings and investor materials. These materials are available on the Investor Relations section of our website, wesbanco.com. All statements speak only as of October 23, 2025, and WesBanco undertakes no obligation to update them. I would now like to turn the call over to Jeff. Jeff?
Jeffrey Jackson: Thanks, John, and good afternoon. On today's call, we will provide an overview on operational efforts and third quarter results as well as provide an update on our outlook for 2025. Key takeaways from the call today are: earnings per share of $0.94 when excluding merger-related charges, which was highlighted by loan growth funded by deposit growth, a net interest margin of [ 3.53 ] and year-over-year fee income growth of 52%. Continued success in our newest markets as demonstrated by growing pipelines and strong customer satisfaction. Commitment to operational excellence in support of profitable long-term growth and enhancing shareholder value. Our third quarter results demonstrate the successful integration of Premier and continued operational discipline. Despite elevated commercial real estate payoffs, we delivered strong loan growth fully funded by deposit growth. while meaningfully expanding our net interest margin and fee income. Combined with our focus on cost control, these efforts drove positive operating leverage and an improved efficiency ratio in the mid-50s. For the quarter ending September 30, 2025, we reported net income excluding merger and restructuring expenses of $90 million and diluting earnings per share of $0.94, an increase of 68% year-over-year. On a similar basis, our third quarter return on average assets and tangible equity improved to 1.3% and 17.5%, respectively. Our efficiency ratio improved 10 percentage points year-over-year to 55% due to expense synergies generated from the Premier acquisition as well as a continued focus on expense management and driving positive operating leverage. Our strong growth in fee revenue was driven by organic growth across our businesses, especially wealth management and our larger post-acquisition customer base. Turning to operational topics. We are pleased to share that customer satisfaction in our newest markets has rebounded even faster than we expected following the Premier acquisition. While a temporary dip is typical during conversions and integrations. Our team anticipated the challenge and proactively put plans in place to support service and quality and customer trust. Today, satisfaction scores in those markets are back to pre-conversion levels. And our overall customer satisfaction across all markets is in the upper 80 percentile level, well above the industry average. This reflects the strength of our integration strategy and the dedication and skill of our teams. That same operational discipline is reflected in our deposit performance. Our annual deposit campaign launched in third quarter is once again delivering strong results. Total deposits grew organically across our footprint by more than $570 million year-over-year and $130 million sequentially, fully funding our organic loan growth. Importantly, this momentum was driven by core deposit categories, not higher cost certificates of deposit, which we have strategically allowed to run down. We have continued to see a pickup in commercial real estate payoffs, which totaled $235 million during the third quarter and caused a nearly 1.5% headwind to loan growth. Reflecting this headwind, third quarter organic loan growth was 4.8% year-over-year and 2.2% quarter-over-quarter annualized. Encouragingly, total commercial loan growth continues to be solid as our teams take advantage of our record pipeline. As of both September 30 and mid-October, our commercial loan pipeline stood at approximately $1.5 billion with more than 40% tied to new markets and loan production offices. Notably, our new Knoxville LPO is already contributing meaningfully, accounting for 5% of the total pipeline. Given the current loan pipeline and CRE payoff headwind, we continue to expect mid-single-digit year-over-year loan growth during 2025. This strong pipeline continues to translate into meaningful wins, including in our newest markets. In one of our premier markets, we secured a major deal with a national motorcycle manufacturer looking to acquire additional dealerships on a tight time line. Thanks to strategic collaboration across commercial banking, treasury management and retail, our team delivered a tailored package of solutions ahead of schedule. The result was an 8-figure loan, 7-figure deposits and additional treasury and swap products. This is a terrific example of how we collaborate to deepen banking relationships and deliver exceptional customer experiences. Our mission is to deliver financial solutions that empower our customers for success while maintaining operational efficiency. To that end, we continue to optimize our financial center network in support of evolving customer preferences and long-term growth. This strategy includes streamlining existing locations continuing to enhance our digital banking capabilities and selectively opening new financial centers or refreshing existing ones within our footprint. Following the strong performance of our Chattanooga loan production office, which has grown to over $200 million in loans in just 2 years. We received regulatory approval to open our full first service financial center in Tennessee. This new location will simplify deposit gathering and deepen client relationships. We are also opening a new center in Alliance, Ohio, where we see strong growth potential. Both centers are expected to open in the first quarter of next year. At the same time, we are streamlining our footprint to ensure efficiency and responsiveness. After a thorough review of our customer behavior and banking preferences, market conditions and proximity to existing centers, we made the decision to close 27 financial centers across our legacy markets. none of which are related to the Premier acquisition. More than 75% of these closures are within 10 miles of another location and deposit attrition is expected to be minimal. These closures bring our total since 2020 to 80 closed financial centers and are expected to generate approximately $6 million in net pretax annual savings. By focusing on the right locations, facilities and customer experiences, we are positioning WesBanco for sustainable growth and exceptional service across all markets. I would now like to turn the call over to Dan Weiss, our CFO, for details on our third quarter financial results and our current outlook for the fourth quarter of 2025. Dan?
Daniel Weiss: Yes. Thanks, Jeff, and good afternoon. For the quarter ending September 30, 2025. We reported GAAP net income available to common shareholders of $81 million or $0.84 per share. And when excluding restructuring and merger-related expenses, third quarter net income was $90 million or $0.94 per share, representing an increase of nearly 150% from the $36.3 million or $0.56 per share in the prior year period. On a similar basis, and excluding the after-tax day 1 provision for credit losses on acquired loans, we reported $2.55 per diluted share for the 9-month period as compared to $1.61 per diluted share last year. To highlight a few of the third quarter's accomplishments we generated strong year-over-year pretax pre-provision core earnings growth of nearly 130%. We funded loan growth with deposits and on a year-over-year basis, improved the net interest margin by 58 basis points, grew fee income 52% and reduced the efficiency ratio by 10 percentage points. Our balance sheet as of September 30 reflects the benefits of both the premier acquired balance sheet and organic growth. Total assets of $27.5 billion increased 49% year-over-year and included total portfolio loans of $18.9 billion in total securities of $4.4 million. Total portfolio loans increased 52% year-over-year due to the acquired PFC loans of $5.9 billion and organic growth of $594 million, driven by the commercial teams. Commercial real estate payoffs have continued to increase and totaled approximately $235 million during the third quarter of '25 and $490 million on a year-to-date basis, more than 2.5x the prior year-to-date period and currently projecting them to be near $800 million for the year. Despite this headwind, we remain optimistic about future loan growth with our strong pipeline banking teams and markets, combined with more than $1 billion in unfunded land construction and development commitments expected to fit to fund over the next 18 months. And in fact, we've achieved record commercial gross loan production through the first 9 months of the year. Deposits increased 53.8% year-over-year to $21.3 billion due to the acquired PFC deposits of $6.9 billion and organic growth of $573 million, which fully funded loan growth. On a sequential quarter basis, total deposits increased $130 million due to the efforts of our consumer and business teams more than offsetting the intentional runoff of $50 million of higher cost brokered deposits and less reliance on public funds acquired from PSC Credit quality continues to remain stable as key credit quality metrics remain low from a historical perspective. And within a consistent range over the last 5 years, as expected, criticized and classified loans decreased during the third quarter to 3.2% through a combination of credit upgrades and loan payoffs, the allowance for credit losses to total loans at September 30 was 1.15% of total loans or $217.7 million, a decrease of $6.2 million from June 30, 2025, was primarily driven by the runoff of a $5 million qualitative factor that was established in 2023 to capture elevated interest rate risk, which ultimately more than offset increases associated with slightly higher unemployment assumptions and loan growth. The third quarter net interest margin of 3.53% improved 58 basis points on a year-over-year basis through a combination of higher loan and security yields and lower funding costs. As I mentioned last quarter, our net interest margin declined 6 basis points sequentially as the CD book from PFC matured and repriced partially offset by our core margin improvement of 3 basis points. Deposit funding costs of 256 basis points for the third quarter decreased 29 basis points from the prior year period. And when including noninterest-bearing deposits, deposit funding costs for the third quarter were 192 basis points. For the third quarter of 2025, noninterest income of $44.9 million increased 51.5% year-over-year due primarily to the acquisition of Premier. With combined premier fee income, we again set record highs this quarter in several fee income categories, including trustees, service charges on deposits and electronic banking fees, we also saw a nice improvement in gross swap fees, which increased $2.1 million year-over-year to $3.2 million in the third quarter, reflecting both the interest rate environment and traction within our newest markets. Noninterest expense, excluding restructuring and merger-related costs for the 3 months ended September 30, 2025, was $144.8 million an increase of 46% year-over-year due to the addition of Premier's expense base, higher core deposit intangible asset amortization that was created from the acquisition and higher FDIC insurance expense due to the larger asset size. Salaries and wages of $60.6 million and employee benefits of $18 million each increased year-over-year due to higher staffing levels and higher health insurance costs, but were consistent with the second quarter as staffing reductions offset the full quarter impact of annual merit increases. Health care during the third quarter continued to be somewhat elevated by about $1 million over our baseline projections for the quarter due to larger-than-normal claims driven by a few high dollar claimants compared to historical claim experience and general increases in health care costs. We've incurred restructuring and merger-related expenses of $11.4 million during the quarter, which included approximately $7 million of charges from the disposition of assets and lease terminations associated with the planned closure of 27 financial centers with the remaining $4 million associated with the Premier merger. We anticipate incurring additional personnel-related restructuring charges here from the closure during the fourth quarter, while nearly all of the merger-related expenses from PFC have been recognized. Our regulatory capital ratios have remained above the applicable well capitalized standards. On September 10, we raised $230 million of Series B preferred stock which will be used to redeem the $150 million of outstanding Series A preferred stock on November 15 and $50 million of sub debt acquired from PFC later in the fourth quarter with the remaining net proceeds to be used for general corporate purposes. Reflecting the new Series B preferred stock, which is considered Tier 1 capital we realized sequential quarter improvement across all of our capital ratios. And when we use the proceeds to redeem the Series A preferred stock and sub debt, we anticipate our fourth quarter CET1 ratio to continue to build 15 to 20 basis points per quarter, while Tier 1 risk-based capital to decline approximately 50 basis points from the third quarter, reflecting the redemption of the Series A preferred stock. Turning to our current outlook for the fourth quarter. And as a note, we will provide our outlook for 2026, during our January earnings call. We are currently modeling a 25 basis point Fed rate cut in October, However, given our relatively neutral rate sensitive position, we do not expect a meaningful impact on our net interest margin from this or the September cut here in the nearer term. We anticipate our net interest margin to rebound during the fourth quarter to the mid- to high 3.50s, reflecting continued improvement in funding costs, fixed asset repricing and loan growth. And while trust fees and securities brokerage revenue are subject to equity and fixed income market valuations, we anticipate noninterest income and noninterest expense to remain relatively consistent with our third quarter trends -- and we expect the planned closure of the 27 financial centers to occur late January with a pretax annual savings of approximately $6 million to begin thereafter. During the fourth quarter, we anticipate preferred stock dividends to total approximately $13 million, which includes the Series A dividend of $2.5 million the Series A redemption premium of $5.5 million and the new Series B dividend of $4.9 million. And lastly, the provision for credit losses will mostly be dependent upon loan growth economic factors and charge-offs. And of course, our effective tax rate should be in that 19.5% range for the year. So we are excited to see positive momentum from the continued margin improvement, our financial center optimization strategy and continued growth in our new markets as well as the organic growth and expansion opportunities that lie ahead. So with that, operator, we are now ready to take questions. Would you please review the instructions?
Operator: [Operator Instructions] Our first question comes from Karl Sheppard with RBC Capital Markets.
Karl Shepard: I guess I'll start with you. I think it seems like you're very happy with the production in pipeline for loan growth, but CRE paydowns is still kind of a bit of a headwind. Just help us understand maybe what you're seeing for production a little bit more -- and then what's the path for pay downs maybe? I hate to use the word normalizing, but coming back down a little bit and driving a little stronger overall growth.
Jeffrey Jackson: Yes, sure. Very, very pleased with the production. I think if you look at just year-over-year, I can give you a couple of numbers through third quarter. So third quarter last year, we did about $1.7 billion in new production. This year, we've done $2.3 billion. So almost basically $600 million more we've done this year. And so the pipelines are really strong, about $1.5 billion and have remained strong. And so I believe that we should have a really strong fourth quarter. We should hit the mid-single-digit loan growth target that we've set out for this year. As far as pay downs, some of it looks at -- in the third quarter were things we wanted to pay down. If you didn't notice our CNC came down 50 basis points. A lot of that was pay downs that we had requested. So feel very good about that. I think when we look into the fourth quarter, we could see another couple of hundred million in pay downs in the fourth quarter. But looking over a normalized period of time, I would say it's going to be on an annualized basis would be in that $400 million to $600 million, $700 million range on a full year basis. This year, we should be -- we might be touching $800 million to $900 million on an annualized basis. Once again, fourth quarter, we don't know exactly. But I would say our pipelines are very strong. We feel very good about mid-single-digit loan growth for the remainder of this year. And next year, we are still looking at mid- to upper single-digit loan growth.
Karl Shepard: Okay. That's very helpful. And then, Dan, 1 for you. On the margin, I think it came in right where you were expecting this quarter, but I just wanted to check to see, are you still thinking 3 to 5 basis points of quarterly expansion in the core -- and is there anything kind of out in '26 that we should think about that might disrupt that trajectory?
Daniel Weiss: Yes, Karl, I do feel very good about that 3 to 5 basis points of continued improvement. So I don't -- we're not providing much guidance here on 2026. But outside of what I provided last quarter, which feel good for the next couple of quarters, to see continued margin improvement. And of course, for our purposes today, we're modeling a 25 basis point cut here next week as well as 1 cut in each of the next 3 quarters thereafter. So that's kind of where we see it there. The 1 thing I would note, and this is baked into the 3 to 5 basis points of margin expansion. But you'll notice that our Federal Home Loan Bank borrowings are down $475 million versus the second quarter, which is great. I would point out that the $230 million in capital that we raised $150 million of that $230 million will be used to pay off the Series A preferred. And so that effectively will be borrowing back from the Federal Home Loan Bank of that $150 million. And then, of course, at the very end of the year, we'll have the $50 million of sub debt premier but we'll be paying off and absent normalized deposit growth, we would anticipate to see that Federal Loan Bank borrowing balance to be up probably a couple of hundred million dollars.
Operator: Our next question comes from Catherine Mealor with KBW.
Catherine Mealor: Just go to ask on expenses. It was nice to see the announcement for the branch closures. I know you're not giving '26 guidance yet, but is there -- can you help us just kind of frame at least as a base how you think about the impact of branch closures kind of offsetting new hires and just kind of what organic loan growth could look like, trying to at least frame up the expense trajectory and potentially more operating leverage and profitability improvement as we get into '26?
Jeffrey Jackson: Yes. As far as the loan growth, I'll start out and I'll let Dan talk about the expense base. We feel very good about mid- to upper single digits and loan growth. And a lot of that is obviously driven by our premier markets that are getting ramped up. I would also say our new health care vertical and then our LPOs. Our LPOs are just operating at a tremendous level Tennessee ones of Chattanooga and Knoxville and Nashville, Indianapolis is doing a great job as well. And then Northern Virginia has really taken off. So we feel very good about those prospects on the loan growth piece. I'll let Dan talk more about the expense base.
Daniel Weiss: Yes. I would say once again, just to kind of reiterate, we're still in the process of finalizing our budgets and forecasts here for 2026 and we'll provide some more guidance at the end of the year. But I would say, certainly, 0.7 branches, there's going to be a tailwind to expenses heading into heading into '26 as a result. So I think that provides some opportunity potentially for reinvestment in technology, people, process and technology. But we certainly also make sure that we are recognizing that expense benefit to the bottom line as well. So pretty excited about where that -- where we're at there.
Jeffrey Jackson: And just to add on it just to add on briefly. As you know, we are always looking to optimize the branch network, and we'll continue to look at that in the future as well.
Catherine Mealor: Got it. And so it's fair to assume though, without giving targets that the efficiency ratio should continue to improve as we move through '26.
Daniel Weiss: Yes. That would be our model today.
Operator: Our next question comes from Dave Bishop with Homsey.
David Bishop: You noted the health care team, I think you noted there's some opportunity to grow that portfolio pretty materially. Any way to ringfest how big the opportunity is there from that new team you hire?
Jeffrey Jackson: I would say, currently, I believe they've closed about $250 million in loans and brought in about around $80 million in deposits and closed about, I believe, about $2 million in fees. So -- and they've been here approximately 6 months. So if you extrapolate that out, you can kind of look at next year, potentially they could do anywhere from $300 million to $500 million in loans on an annual basis. Very excited about that team. We're looking to grow that team. And it could be larger than that, but that's what I kind of pencil in today.
David Bishop: Got it. I noted the increase in average deposit cost on a sequential basis. Was that purely a function of the purchase accounting impact and how aggressive you think you can lead on into these Fed rate cuts?
Daniel Weiss: Exactly. It has all to do with what we described last quarter and that being the temporary nature of the CDs that we had acquired 7-month CD specials that were effectively rolling off and don't expect that to see that repeat. That's behind us at this point.
Operator: Our next question comes from Russell Gunther with Stephens.
Russell Elliott Gunther: I appreciate all the color on the capital actions taken this quarter. It would be helpful to just get a reminder as to where you would plan to kind of manage capital levels to going forward, be it TCE or CET1. And then just any updated thoughts as to how you're thinking about the potential to reverse the CECL double now.
Daniel Weiss: Yes, sure. Great question. I'll take that. So from a CET1 standpoint, I would say our internal targets are kind of between that [ 10.5% ] and 11%. And we're growing CET1 about 15 to 20 basis points per quarter, and that's what we're kind of projecting here. over the next several quarters. I would tell you, and as I mentioned in my prepared remarks, that we do have a little extra total risk-based capital with the duplication of the Series A and Series B, the Series A being temporary. It will go back down about 50 basis points. But if you compare it off of the second quarter, we will still be up 70 basis points on total risk-based capital. So excited there as well. As it relates to the CECL double count at this point, we're still evaluating -- but unlikely -- really the FASB has to issue the ASU before we could really make any determination. But I would say the more time that passes, probably the less likely that we would do something there.
Russell Elliott Gunther: Got it. Okay. And then last question here would be just use of excess capital going forward and any appetite for buyback around the current level?
Daniel Weiss: Yes. So I would say right now, we're still -- we continue to be in a capital build mode -- and as you know, Russell, buyback is typically on the lower end of the spectrum in terms of priorities. So today, I would say certainly less likely in the near term for buyback.
Jeffrey Jackson: Yes, I was just going to say really focused on capital build back and then obviously, that would go toward dividends and really loan growth.
Russell Elliott Gunther: Excellent. If I could sneak 1 in, in terms of you gave us some incremental color on the health care vertical. It sounds like a good runway there. Anything kind of adjacent or similar vertical add-ons you would contemplate down the road?
Jeffrey Jackson: At this point, we're just really focused on health care and then also the LPO strategy. That's really working incredibly well, would potentially look to other cities end markets to continue to expand there. We talk about different verticals, but at this point, nothing really to share right now.
Operator: Our next question comes from Daniel Tamayo with Raymond James.
Daniel Tamayo: Maybe first on the deposit side. So obviously, you had the impact from the premier CDs repricing. It looked like money market and savings deposit rates were up a bit in the quarter as well. Just curious the type of deposit competition that you're seeing, if you can kind of size it for us from a relative perspective, it's gotten more intense or still somewhat similar to what you saw in the prior quarter.
Daniel Weiss: Yes, I would say it's pretty similar to what we've been seeing over the last several quarters, not expecting and not seeing anything intensify. And -- but I would say with CRE paying off in general, I do think that, that could provide some relief on deposit pricing in general.
David Bishop: Okay. That's helpful. And then maybe for you, Jeff, you just touched on it a little bit with your comments on the appetite to continue the LPO strategy and perhaps into new markets as well. But just curious if you have any overall thoughts as, I guess, post your capital build when your target that you want to be at where does M&A fit in and relative to the LPO strategy do those 2 things have to be separate? Or can you do both?
Jeffrey Jackson: Yes. Right now, I would say we're totally focused on LPOs and verticals and growing our organic business. So that's where we're totally focused at right now. And we feel like we've got a great growth runway just to do this organically. I can't tell you how proud I am of the team and how excited I am about the LPOs and -- what's amazing is we've had a lot of great people that we've been able to hire and that has turned into more people and people hearing about our brands as we expand south and expand West. And so we feel like we've just got a lot of great organic opportunities for us. that we're really going to be focused on in the next year plus. So that's really where our focus is today.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Jeff Jackson, CEO, for any closing remarks.
Jeffrey Jackson: Thank you. We are continuing to deliver meaningful improvement in our financial metrics and strategic positioning to deliver enhanced shareholder value, highlighted by third quarter earnings per share of $0.94. The strong customer satisfaction scores and continued optimization efforts. We remain focused on driving positive operating leverage through sustainable long-term growth. Thank you for joining us today, and we look forward to speaking with you at one of our upcoming investor events. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.